Operator: Good morning, everyone, and welcome to the Gibson Energy Third Quarter 2025 Conference Call. Please be advised that this call is being recorded. [Operator Instructions] I would now like to turn the meeting over to Beth Pollock, Vice President, Capital Markets and Corporate Development. Ms. Pollock, please go ahead.
Beth Pollock: Thank you, Jill. Good morning, and welcome to our third quarter earnings call. Joining me today from Gibson Energy are Curtis Philippon, President and Chief Executive Officer; and Riley Hicks, Senior Vice President and Chief Financial Officer. The rest of our senior management team is also present to help with questions and answers as required. Listeners are reminded that today's call refers to non-GAAP measures, forward-looking information and is subject to certain assumptions and adjustments and may not be indicative of actual results. Descriptions and qualifications of such measures and information are set out in our investor presentation available on our website and our continuous disclosure documents available on SEDAR+. With that, I will turn the call over to Curtis.
Curtis Philippon: Thanks, Beth. Good morning, everyone, and thank you for joining us today. The third quarter was a strong period for our customers and the Gibson team. Our customers delivered a number of throughput records this quarter, including an all-time high across our Canadian and U.S. terminals of 2.2 million barrels per day, up 8% from last quarter and 27% higher than the third quarter of 2024. In Edmonton, throughput reached a record level of over 330,000 barrels per day, 14% higher than last quarter and more than double the volumes from the same period last year. Year-to-date, in Edmonton, we have handled roughly half of the heavy crude volumes shipped to TMX. At Hardisty, volumes remained strong at over 1.1 million barrels per day, marking the highest quarterly throughput at the terminal since TMX came online and tracking toward a potentially new all-time record for annual throughput for Hardisty by year-end. At our Moose Jaw facility, following the successful completion of the turnaround last quarter, we increased third quarter throughput by 7% over the same period last year and delivered a new monthly throughput record for the facility in September. At our Gateway terminal, the completion of dredging supported a new quarterly throughput record of 717,000 barrels per day including a new monthly record of 775,000 barrels per day of loadings in August alone, and we have maintained that this momentum into Q4. The terminal also saw a record number of vessel loadings during the quarter with 85% of those vessels being VLCCs and Suezmax's. These Gateway volumes represent a 20% share of total U.S. crude exports and 44% of the Ingleside market. And finally, in support of our Gateway customers, we've achieved record monthly volumes at Wink in September, exceeding 55,000 barrels per day. This impressive performance contributed to third quarter throughput of approximately 52,000 barrels per day, up from 43,000 barrels per day in the same period last year. We get asked sometimes why do we care about the volume throughput records. The vast majority of Gibson's infrastructure revenue is fixed in nature, so the records do not always directly impact quarterly revenues. But we care about these records because they are a great indicator for us as we look forward. These throughput numbers highlight the strength and growth of our customer base and reinforce the essential role our assets and teams play in safely and efficiently delivering energy to global markets at the best possible netbacks for our customers. On top of these records, I'm pleased with the progress made in the quarter on our 5 strategic priorities: safety, Gateway execution, growth, building high-performance teams and cost focus. We're very proud of the outstanding safety culture and program at Gibson. The team is achieving best-in-class safety performance. In the third quarter, Gibson hit record levels for total recordable incident frequency for our employees and contractors. We have now surpassed 9.8 million hours without a lost time injury. A great safety culture that is focused on continuous improvement is the foundation for our success as an organization. This week, we will achieve a key milestone on our strategic priority at Gateway -- on our strategic priority of Gateway execution with the completion of a major capital project. The Cactus II connection at Gateway has finished construction and is being commissioned this week with oil expected to flow as early as tomorrow. The addition of this connection provides our customers with access to an additional 700,000 barrels a day of Permian supply, effectively increasing their supply options by 1/3 and now providing access to 100% of the supply in the region. We remain fully confident in achieving our 15% to 20% Gateway EBITDA growth run rate milestone in Q4 and the record-breaking performance of Gateway post completion of the dredging project, now combined with the supply capabilities provided by the Cactus II connection will enable sustained elevated throughput volumes. On the growth and building a high-performance team strategic priorities, we had an important addition to the leadership team in the quarter. We continue to strengthen the Gibson growth muscle with the appointment of Blake Hotzel as Senior Vice President, Chief -- Senior Vice President, Commercial Development U.S. based in our Houston office. Blake brings more than 20 years of energy infrastructure experience, including senior commercial and business development roles at Tallgrass and Phillips 66. As we expect infrastructure EBITDA per share growth of more than 5% over the next 5 years, Blake's leadership will be instrumental in advancing our U.S. strategy and driving continued growth across the platform. Following the quarter, the construction and commissioning of the infrastructure supporting our long-term strategic partnership with Baytex was successfully completed, an important step that adds stable long-term cash flow under the 10-year take-or-pay and area dedication agreement. The production is now flowing to our Edmonton terminal. On our cost-focused strategic priority, we continue to advance our -- we are all owners cost focus initiative. We are on track to exceed $25 million in run rate cost savings by the end of 2025, driven by strong engagement from teams across every area of the business. During the quarter, we captured onetime an ongoing cost savings contributing $9 million to distributable cash flow. On financial highlights, the business delivered a solid quarter that was in line with our expectations. Infrastructure continued to perform exceptionally well this quarter with near record EBITDA of $154 million and marketing contributed $7 million of EBITDA as expected. Distributable cash flow was $86 million during the quarter. In summary, the third quarter once again demonstrated the strength and resilience of Gibson's business model. We delivered consistent operational and financial performance, advanced key growth projects on both sides of the border and maintained our unwavering commitment to safety. As we look ahead, with Gateway running at record levels, the construction and commissioning of Cactus II complete and our Duvernay project with Baytex on schedule, we are well positioned to continue generating stable growing cash flows. At the same time, our high-performing team, continued focus on cost discipline and an ownership-driven culture ensures that we remain aligned with our shareholders and well prepared to deliver on our long-term growth and return objectives. With this, I'll pass it over to Riley, who will discuss our financial performance in more detail.
Riley Hicks: Thank you, Curtis. As discussed, the third quarter was another strong quarter for our core business. Our Infrastructure segment continues to deliver solid results with third quarter adjusted EBITDA of $154 million, an increase of $4 million over the same period last year and in line with the record that we set earlier in 2025. Infrastructure EBITDA also accounted for over 95% of adjusted EBITDA before G&A during the period, emphasizing the high-quality, stable nature of our cash flows. This performance was driven by record throughput across our assets. In Canada, quarterly volumes rose by 26% year-over-year, while in the U.S., throughput rose by 30% over the same period. These positive results reflect the critical nature of our assets and their value to our customers. Our Marketing segment delivered EBITDA of $7 million for the quarter, consistent with both our prior guidance and the previous quarter results. For the fourth quarter of 2025, we expect the macro environment to remain relatively consistent. And as such, we anticipate marketing EBITDA for the year to be around $20 million, within our previously communicated range. As we look towards 2026, we anticipate a stable commodity price environment with marketing performance expected to remain consistent until egress tightens. As such, our focus will continue to be on supporting our long-standing infrastructure customers as they execute their development plans and grow their production around our critical asset base, positioning Gibson for continued stability, growth and long-term value creation. On a consolidated basis, third quarter adjusted EBITDA of $147 million was $4 million lower than the same period in 2024, primarily driven by lower contributions from the Marketing segment and offset by strong performance through our Infrastructure segment. Turning to distributable cash flow. We generated $86 million in the third quarter, a $3 million decrease from the third quarter of 2024. During the quarter, we captured onetime and ongoing cost savings contributing an impressive $9 million or $0.05 per share to distributable cash flow. Approximately 80% of these savings came from 4 main drivers: lower interest expenses, reduced property taxes, decreased operating costs and the one that I am most proud of, our grassroot cost savings efforts. This area made up a significant portion of our total savings through many small initiatives implemented across the company and supported by the participation of 80% of our employees. This is a great example of our culture of ownership and engagement and highlights how individual contributions have meaningfully strengthened our financial performance. Quarter-over-quarter, our debt to adjusted EBITDA ratio improved from [ 4x ] to 3.9x, though it remains above our long-term target range of 3x to 3.5x, while our consolidated payout ratio for the quarter was 85%. On an infrastructure-only basis, our debt-to-adjusted EBITDA ratio was 4.1x and our payout ratio was 80%. As expected, leverage and payout are temporarily above our long-term targets. However, we have clear visibility to returning to our target range in the first half of 2026. We remain fully committed to our financial governing principles. Our balance sheet remains a key strength of our business, supporting both disciplined growth and a sustainable growing dividend. Supporting our conservative financial profile and our continued commitment to our investment-grade rating, both DBRS and S&P have reaffirmed Gibson's BBB low and BBB- ratings, respectively, each with a stable outlook, underscoring their confidence in our long-term financial plan. With this, I will now pass the call back to Curtis for a few closing remarks.
Curtis Philippon: Thank you, Riley. To close, the third quarter further demonstrated Gibson's ability to deliver strong results through disciplined execution and a clear strategic focus. We continue to advance our priorities, maintaining top-tier safety performance, executing at Gateway, delivering growth, building high-performance teams and driving cost efficiency across the business. We'll be holding our Investor Day in Toronto on December 2 and look forward to seeing you there where we will walk through our long-term strategic plan. I'd like to take a moment to thank all of our employees for their continued commitment and exceptional performance. Their dedication to safety, operational excellence and our ownership culture continues to drive Gibson's success. Thank you again for joining us today and for your continued support in Gibson.
Operator: [Operator Instructions] Our first call comes from the line of Jeremy Tonet with JPMorgan Securities.
Jeremy Tonet: Just want to pick up with one of your last points there with regards to the upcoming Investor Day in December. Just wondering if you might be able to provide a little bit more color, I guess, on what type of topics we could be discussing there. Specifically, I guess, growth initiatives as you see at this point, any foreshadowing color you could provide at this juncture?
Curtis Philippon: We want to make sure you come to the Investor Day. So we don't want to get too far ahead of ourselves there. But what I would say is the -- I wouldn't come to it expecting that you're going to hear big individual project FIDs. Like we're not intending to announce a significant sort of $100 million-plus project FID in the meeting or even announce any sort of significant change or improvement in marketing outlook. How we look at the world today is how we think it looks like for the front half of the year. And we think we see from a capital project perspective, a lot of very good projects, but a lot of projects that are more in the sub-$100 million range that we'll be working through. So I wouldn't come expecting a specific project FID announcement. What you can expect to hear is we're going to be introducing the team. So we've got a number of new faces around the table and want to give people a chance to meet them in person. So you'll meet our senior team. You'll hear a little bit more about what we've been working on over the last year, and you'll see us lay out the specifics of our 5-year plan. And I think for me, that's the important step that we lay out some of those specifics and give a bit of a step-by-step of how we're thinking about growth and something that our investors can hold us accountable to. And then lastly, we're going to spend a fair bit of time talking about what I believe is a pretty compelling return proposition in Gibson that is backed by an outstanding dividend.
Jeremy Tonet: That's helpful. And maybe picking up on one of your comments there, expectation for kind of a static environment through the first half of next year. Around the middle of next year, do you see the egress tightening at that point and supporting better marketing? Or any other thoughts you could share, I guess, on how marketing progresses over time?
Curtis Philippon: I think we'll wait and see. I think at this point, when you look at what you see for production and egress, I don't know that you see significant tightening of egress in 2026. I think that's more in 2027 that you start seeing that come in a bigger way. But I think you do start seeing it on the horizon and you start seeing people acting in preparation of those egress challenges coming. And so I think that will make for some interesting opportunities for Gibson. So we see some slight improvement in the marketing outlook in the back half of the year, but it really is fairly consistent for what we see in 2025. And what I would comment on that is the positive on that is it is a tremendous environment right now for our infrastructure customers. Even in low commodity markets, our infrastructure customers are exceptionally healthy and are growing production, and that's really the core of our business. And so we're seeing very good throughput numbers, you see good project announcements from our customers, healthy balance sheets, all while there's sort of this sort of challenging commodity market backdrop. And so as much as we do believe in the long-term guidance of marketing and returning back to our range, it's actually phenomenal for our infrastructure business that we have this very efficient market egress happening right now.
Operator: The next question comes from the line of Aaron MacNeil with TD Cowen.
Aaron MacNeil: Curtis, as you mentioned in the prepared remarks, you've seen record throughput across the platform. I'm hoping you can sort of take this a step further. Are there any notable contract expiries in the near term where we could see this performance translate to higher contracted pricing to reflect that stronger fundamental backdrop? And if so, how material could that be?
Curtis Philippon: Aaron, really, we always have contract renewals that are happening. So there's no sort of uniqueness to 2026 or 2025 for a contract renewal period. We always are working through those. I would say, as you look into next year, though, as you start seeing tightening egress, we like that market condition for renewals as you get into '26, better than what it has been in '24 and '25.
Aaron MacNeil: Okay. I also wanted to dive a bit deeper into the impact of nonrecurring cost savings. I know you don't split it out, but can you speak to the specific items this quarter that were nonrecurring, what the impact is and what the visibility to nonrecurring savings could be on a go-forward basis?
Curtis Philippon: Yes. We talk about sort of half and half. I don't know if we're given such a -- it's sort of scattered over a number of different buckets. I don't know if it's worth getting into the specifics of what are the nonrecurring ones, but it's about half and half. We'll get into that a bit more at IR Day. I would call out the cost savings program has just been tremendous. The cultural impact of people leaning in and finding cost savings across the business has been quite impactful and culturally getting people focused on, hey, we're all owners here, let's drive cost efficiencies across the business has been powerful. Riley talked about over 80% of our employees participating and having a direct impact on it. We had one example in the quarter that I think is a great story. We've got a senior ops member of our ops team that's a long-term Gibson employee, Kevin Buelow out in Hardisty, who had a capital project in Hardisty come to his attention that we had done an excellent job designing a growth project in Hardisty. We're improving some connectivity in the Hardisty facility. It was about an $800,000 project. And Kevin, with many, many years of experience and knowledge of that asset, looked at that and felt empowered by the cost program to say, I think there's a better way and drove a great conversation with our engineering team and directly on that project. And we ended up saving, I believe it's almost $400,000 on that project and cut time out of the scope, thanks to that. I think these stories, so that would be a great example of a non-recurring cost impact in the quarter that will be realized -- some of that was realized in the quarter. But we've got stories like that happening all over the business right now. And it's just -- I think the cost program just elevated some of these conversations and empowered people to lean in and suggest different ways of doing things. So shout out to Kevin Buelow. Kevin is also one of the newest members of the Hardisty Town Council. So shout out to Kevin, he's a great long-term employee of Gibson.
Operator: The next question comes from the line of Sam Burwell with Jefferies.
George Burwell: First off, on exports, a little bit of volatility month-to-month through 3Q, even post dredging. So wondering if you could just sort of illuminate whether that was more idiosyncratic to Gibson or reflective of broader macro conditions? And then any insight you could give us on just like the EBITDA sensitivity to this volumetric volatility?
Curtis Philippon: Sam. So from a Gateway volumes, super interesting. Obviously, post dredging, we've seen an uptick as we take that facility sort of 47 to 52 feet of depth. You're able to suddenly fill a VLCC rather than 1.25 million barrels to 1.5 million barrels since we saw immediate throughput increase. Not every vessel going through is a VLCC, so you don't see it all the time and not every customer has all that inventory available every time. And so that you don't always get it. But we saw from time of dredging, so pre-dredging, we would have been in the 500,000 range per day on average unloading. Post dredging over the last 5-ish months that it's been -- we've averaged about 725,000 barrels a day. There is some month-to-month flexibility in that. Some of that is geopolitical. There's a lot going on in the world right now. But some of that is really just our customers' programs and when they're timing. And so we've seen a fairly consistent volume. It's actually quite remarkable that we've been able to do the 725,000 on average without the Cactus connection that we -- when we initially planned this out, we really didn't think we would get that big of an uptick without -- until we got Cactus completed because it's such a challenge for the facility to keep up and our customers to keep up with that level of activity with only 2/3 of the supply available to them. And so we've been doing a lot of juggling. Our customers have been extremely supportive on working with us to find ways to get volume onto other pipes to make sure that they can take advantage of using Gateway. But it has been a challenging situation to maintain sort of the high. We did that 775 in August. It's been challenging to maintain that -- quite that level without Cactus. With Cactus now completed, I expect that you're going to see customers get used to using that, and you'll see a volume uptick as we get into the early part of next year. But there is -- at the end of the day, we get a certain amount of compensation for volume throughput, but the vast majority is on just booked windows. And so there is some sensitivity to volume throughput, but there's -- at the end of the day, it's MVC minimums that drive the bulk of the revenue at Gateway. And so there is sometimes month-to-month variations where customers choose for whatever reason, not to take advantage of their MVC.
George Burwell: Okay. Perfect. Understood. On marketing, I appreciate the comments you guys gave earlier and that makes sense that the outlook is challenged given where the dips are. But just curious if there are any other headwinds or tailwinds that you see outside of kind of the headline dip, whether it's refining margins? Or I mean, if we do see crude go into contango, just like anything else out there that could potentially swing marketing one way or the other over the, call it, medium term?
Curtis Philippon: Yes, there's a few things, but I caution that they're still early on that. But they do give us optimism that we expect to see a bit of an uptick as we get into next year. One thing we flirted with contango just recently. And so obviously, that's a big deal. We've been very backwardated for a long time. Just recently, we flirted with contango. If that was to come back, obviously, there's a very positive impact for our bottom line. On the refinery side of things, one of it is actually just demand for products that one of our large markets for drilling fluids out of the refinery is Western Canada. And as you see a fair bit of activity around LNG-related drilling activity in Western Canada. We think there's a bit of a small uptick around that, and that's a good product for us. So that's a nice indicator for us. And then the other one is just around Gateway and that we've -- in our U.S. side of our business, we haven't really done a lot to take advantage of what our marketing team can do to help Gateway customers, and we expect that you'll see us do more out of our U.S. business to grow a bit of a market business that supports Gateway throughput.
Operator: The next question comes from Robert Hope with Scotiabank.
Robert Hope: Maybe keeping on the South Texas theme. With Cactus entering service here imminently as well as the dredging now done, where are you spending most of your time on the files for that asset? Is it on the storage side? Are you devoting more time to the incremental dock? Or is it all contracting?
Curtis Philippon: Yes. On Gateway, obviously, a great story this year with a couple of notable things. And so as we get into '26, there's a certain amount of us just taking advantage of the new capabilities that we've got. Now that we've got this dredged facility and all this connectivity, we can really move into some recontracting with customers to -- at larger MVCs and that the original MVCs at the facility were done at an Aframax size vessel. Now that we're fully VLCC ready, as recontracting comes up, there'll be larger windows being contracted. And it's nice that we're getting paid on throughput today for that incremental volume, but we love MVCs. We're midstreamers, we love guaranteed revenue. And so you'll see a lot of work over the next couple of years as contracts come up to sort of shift over to larger MVCs versus having a variable portion on some of this throughput. So that's one piece. The other piece that we're seeing is just with the large amount of activity at Gateway that we're seeing customers really pulling for a lot -- looking for additional supply. And so we're doing a fair bit of work out in Wink to go support sourcing additional volumes for customers, and that's quite helpful as they think about getting incremental cargoes off the dock in Gateway, what can we do to find additional barrels for them. So we're doing a fair bit of work around that, and I think we'll talk more about that at the Investor Day and some of the things we're doing there. And then also out of the Eagle Ford, we see some nice opportunities to provide additional Eagle Ford barrels with existing customers that have a footprint up there that would like to get more of those barrels across the dock. And so we're doing a few things around that as well to sort of unlock some of that potential for the Eagle Ford.
Robert Hope: All right. And then maybe on Wink, you've highlighted a couple of times this call, and it's been silent for a number of calls recently. How are you thinking about your Wink assets? And what do you think the outlook for them is and how they fit in to the company longer term?
Curtis Philippon: Wink has been -- it's an interesting one for us. So early on with Gateway, we definitely underpromised around what is the linkage between Gateway and Wink. And it was still, still early, we're learning what exactly that potential was. But in the back of our minds, I think there -- we think there's something there. And we've seen that play out this year that it is a big deal for customers to be able to find more barrels for the -- across the dock and Gateway. And so having the ability to gather barrels at Wink has been an advantage for us. And so we've leaned into that. The team has done an exceptional job, and you can see the volumes going up. So we're seeing some good activity and profitability out of that Wink business. We think there's an opportunity to grow that a little bit as well as we -- I think it's a good piece of business, but it's also nicely supports Gateway. So you'll see us leaning into that one a little bit more. And I also think just from an overall macro of the Permian, why I'm interested in that is because you can look forward and say the Permian is right now today, a fairly flattish production profile over the next little bit. But if you look specifically at the quality of the barrel in the Permian, there's a real trend going on out there right now that there's increasingly more quality challenged barrels that would benefit from a terminaling solution that Wink and Gibson can provide to help them make sure that they're optimizing their quality before shipping the barrels out of the field. And so I think increasingly, the importance of our service increased a bit. When saying all that, it's still a relatively small part of our business. This is -- we're talking about 50,000 barrels a day of gathering. It's a relatively small asset for us, but we've been pleased with how it's performed.
Operator: The next question comes from Maurice Choy with RBC Capital Markets.
Maurice Choy: Just a question on, I guess, taking a bigger picture about your objectives in your second year as CEO. It feels like the first year, you've channeled the company's focus, including on keeping things more simple, focusing on a crude oil theme, optimizing costs and on culture. When you think about your second year, what are some of the mandates you've been given by the Board? And how do you look at things like M&A as well as any other hirings that you need to make beyond...
Curtis Philippon: Maurice, I think it's been -- I think you characterized the first year well that we had a certain amount of work to do in the first year to get the organization focused on cost and strategically aligned, execute really well out in Gateway. And the team has done a phenomenal job of that. And so I think as we get into next year, it's a little bit of, okay, we've got the team in place now and let's go really -- let's accelerate this. There's an opportunity to accelerate our growth and some of the things that we're doing. And now that we've sort of been through a bit of a period of change, I think now we've got a bit of ability to just go run now, and I'm really pleased with the team we've got around the table and pretty excited about what we can do with that. But we'll see what that means for M&A. I think we've proven with Gateway that Gibson is capable of doing excellent M&A and going and integrating it well and delivering on it but we're not going to force that. I think one of our benefits is we're -- of our size that we don't -- there's not a need to go do M&A just to get a little bit bigger for the sake of getting bigger. If we would do M&A on crude-focused assets that were true crown jewel type assets that we could add to our portfolio that nicely plugged into our current assets as best as possible and had the sort of contract profile and customer quality that we're after and the valuation has to make sense. So in saying all that, I think we'll be pretty focused on growth capital, but have an eye on is there a potential M&A out there that's crude focused that makes sense for us.
Maurice Choy: Understood. And if I could just finish off on a question on the leverage and targets. Riley, I think you mentioned earlier that you're forecasting to reach your 3x to 3.5x debt-to-EBITDA target by the first half of next year. I think previously, there was a mention of this being early 2026. So would you view that to be consistent with your prior messaging? And if not, is it merely the marketing outlook having changed a little bit for 2026? Or are there other drivers that you highlight?
Riley Hicks: Thanks, Mau. I think as we look at our leverage and kind of returning to our normalization in the first half, we would view that as consistent with our prior messaging. And really, the main impact driving that downward is realizing the benefit of all the great capital projects we've got here in 2025. As that EBITDA comes online, we'll drive our leverage back down to the range that we like. So we feel very comfortable with our long-term deleveraging plan, and we expect to achieve that in the next -- first half of next year.
Operator: The next question comes from Benjamin Pham with BMO.
Benjamin Pham: I wanted to follow up on the last question and maybe just touch base on your thoughts on the -- your current leadership team. You effectively have completed so what you need to place on your team. And I'm also curious with the new hire, what priorities you've set for him and any potential changes in terms of how you think about the U.S. versus before?
Curtis Philippon: Yes. So from a team perspective, I'm pretty excited about the team we've got. I think we've got -- I think it's so important to get the right team around the table. We've done that. We've got a team that's pretty excited about growing Gibson over the next phase of time. And so we're excited about that. In particular, with Blake joining now. We looked at the U.S. business with the addition of Gateway is now Gibson is very relevant in the U.S. And so we've got -- part of bringing Blake in is like, one, let's make sure that we're running and managing our Gateway and our Wink asset very well and continuing to drive good growth of those things and driving great recontracting and doing all those positive things. So that's sort of plan A, sort of keep the car on the track. So we're having a bunch of success, keep that going well. The second part of that is, boy, we're relevant now. Like we're exporting 1 in 5 barrels out of the U.S. goes through the Gibson Gateway facility. So we're a meaningful part of the energy infrastructure in the U.S. We've got a footprint now. What do we do with that? And what other incremental growth capital or other things could we do that could expand that growth down in the U.S. And so I think that's really what his mandate is. And in saying that, it's -- we're targeting this overall infrastructure EBITDA per share growth of over 5%. And I expect there'll be a nice mix of Canadian and U.S. growth that will be pushing for that and a little bit of adding Blake to the mix and his counterpart, Kelly Holtby in Canada is just -- we grant a nice -- a nice competitive tension of a lot of projects coming to the forefront for us to compete for capital and make sure we're driving the best possible projects forward on both sides of the border at the best possible returns. And so I think that's a little bit of how we're thinking about it.
Benjamin Pham: Think what ideally, not necessarily putting numbers at this point in time that you could see long term a nice balance mix of sanction projects between both countries?
Curtis Philippon: It's hard to predict what the mix is. I think right now, I think it's a fair assumption that you've got a balance between both sides of the border. When you -- we've got -- the U.S. market is obviously much larger, and so the opportunity set is tremendous. But on the other side, in Canada, Gibson has got 70 years of history and just a really substantial asset base across the Western Canadian basin that gives us a lot of relationships and a lot of opportunities on the Canadian side of the border as well.
Benjamin Pham: Okay. Got it. And maybe a follow-up question to your earlier comments, Curtis, on the volume uptick, maybe not necessarily translating to the one for one on the EBITDA side of things. I was wondering, I just simply look at your numbers, infrastructure year-to-date, year-to-year, it's up 2%. And I understand there's some dredging impacts there. There's asset sales, but then you got the Edmonton project and you got a big ramp-up in Gateway. So is that I guess maybe just unpack that a bit of just the disconnect between volumes and EBITDA growth? And then is the 15% to 20% then is that more -- it sounds like it's more of a back-end uptick then depending on your comments on the first point?
Curtis Philippon: Yes. I think you've got -- there's -- we've definitely seen volume increases. But as I mentioned, there is not a direct correlation between sort of revenue on some of those volumes. And so when I look at those volume increases, I get excited about okay, the next set of recontracting, when does the next tank demand come on as you see our customers getting more and more active in the terminal. And then on top of that, when you get into situations where you get into egress challenges in the future, over the fact that we've got a great customer base moving a lot of volume, I think that just really even further enhances how can we help them at times of egress challenges in the future. So it's a bit -- it's definitely very much a forward look that we get excited about what that impact is versus sort of an immediate earnings impact other than in gateway where we see some throughput earnings impact on the sort of the excess over MVC numbers. So that's a little bit of how I'm thinking about the volumes. The 15% to 20% marker on Gateway, we feel very good about that. Well -- so that's the marker we set on acquisition day that we wanted to -- we thought that we'd realize some benefits and drive a 15% to 20% increase from what the run rate was at the time of acquisition to at some point in the future. We're hitting at some point in the future here in Q4. There will be a step-up in Q4 with just being able to realize sort of a bit more of the full benefit of having of these assets available to us. I think you'll see a bit more of that. We'll likely be closer to the 15% in Q4, and you'll see a bit more of that as you get into 2026 now that you've got -- obviously, we only have Cactus for part of the quarter here in '25.
Operator: The next question comes from Patrick Kenny with NBCM.
Patrick Kenny: Just on the Edmonton Terminal, see the throughput being up nicely with TMX and then obviously, the Baytex deal coming online. Just wondering if you could refresh us on what the remaining upside story here looks like at Edmonton, either from a capacity or capital investment standpoint?
Curtis Philippon: Yes, we're pretty excited. Like it's over half the volume is going on to TMX. That's a good story. I think where we think about what is the additional growth specifically in Edmonton, when we added those last 2 tanks for Cenovus on 15-year agreements, we did the prework to get ready to build 2 more tanks as we see volume and activity continue to increase, I think the probability of adding those 2 tanks just increases as well, whether -- I think there's sort of 2 things. There's sort of -- is there additional TMX debottlenecking and growth and whether that's dredging on one end of that, that allows them to get additional throughput. I think there's some positive indicators on sort of volume increase that will have a good impact on Gibson. But also the second part is it's still so new that I think our customers are telling us that they're still finding ways to further optimize their netback on what they -- on how they're shipping on TMX. And I think there's things we can do to help them on how they're shipping on TMX to sort of offer some upside. And so I think that provides a bit of a growth opportunity for us with our customers. But saying all that, I'd say this has exceeded our expectations for how much volume we've seen on TMX coming through the Gibson facility and pretty excited about how that pipe has been operating.
Patrick Kenny: Okay. That's great. And then maybe at Gateway, just coming back to -- you mentioned you're still comfortable with the 15% to 20% growth target. But if I'm not mistaken, that target was set a while back. And so I'm just wondering based on where your market share is now in Corpus Christi, seeing how strong throughput has been year-to-date. Just wondering how close you are to exceeding that 20% growth target as we look into next year. And just wondering if your base outlook includes your ability to move VLCCs at night or any other optimization efforts that might be in the works?
Curtis Philippon: Yes. I think we'll dive into a bunch more of that at Investor Day, Patrick. I think that's -- I think there's an interesting additional value that you can unlock at Gateway. One, just using the current capabilities that we've already got. But yes, as you get into things like night moves of VLCCs and thinking about how do you optimize that capacity, I think there's some additional levers still to be pulled even as we get to the 15% to 20% marker now, opportunity to exceed that as you go forward.
Patrick Kenny: Got it. And then maybe just lastly for Riley, not to steal too much thunder from Investor Day, but just coming back to the balance sheet and I guess, the plan to stay under 3.5x once you get there next year. Curious how much dry powder you might see being available for additional partnerships like the Baytex deal or other tuck-in acquisition opportunities?
Riley Hicks: Yes. Thanks, Pat. I think when we think about those type of opportunities, we think we have ample liquidity and ample ability to access the financial markets to support our growth plan. So no real concerns in growing and deploying capital to grow. We're very comfortable with our financial plan and where we stand with the investment credit rating agencies. So to the extent that we find great tuck-in acquisitions or opportunities or potential partnerships, we will be happy to execute.
Operator: There are no further questions, and I would now like to hand the call back to Beth.
Beth Pollock: Thank you. Thank you for joining us for Gibson Energy's Q3 2025 Earnings Call. Additional supplementary information is available on our website at gibsonenergy.com. For follow-up questions, please reach out to investor.relations@gibsonenergy.com. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.